Operator: Good morning, ladies and gentlemen, and welcome to the Chartwell Retirement Residences Q3 2024 Financial Results Conference Call. I would like to turn the meeting over to the CEO, Vlad Volodarski.
Vlad Volodarski: Thank you, Verna. Good morning, and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Jeffrey Brown, Chief Financial Officer; and Jonathan Boulakia, Chief Investment Officer and Chief Legal Officer. Before we begin, I direct you to the cautionary statements on Slide 2, because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our Q3 2024 MD&A under the heading 2024 outlook and risks and uncertainties and forward-looking information for a discussion of risks and uncertainties. These documents can be found on our website or on SEDAR+ website. Turning to Slide 3. Our team delivered another quarter of strong operating and financial performance. In Q3 2024, they increased occupancy in our same-property portfolio by 610 basis points, grew NOI by 17.1% and achieved a 200 basis points expansion in adjusted operating margin, which drove a strong 43.2% growth in FFO. Importantly, we made great strides towards achieving our aspirational 2025 strategic objectives. Our 2024 employee engagement score of 57% highly engaged employees exceeded our 2025 target of 55%. Our 2024 resident satisfaction score of 66%, very satisfied residents was within 1 percentage point of our 2025 target. Remember, these scores only count top box, Strongly Agreed responses on a 5-point scale. Combining respondents who mark boxes, four agree and five strongly agree on their surveys, which shows the employee engagement score of 86% and resident satisfaction score of 89%. Our teams continue to focus on occupancy growth. We now forecast December 2024 same-property occupancy to grow to 90.2%. They're working hard to continue the pace of occupancy growth achieved in the last 2 years to reach our third 2025 strategy objective 95% occupancy in the same property portfolio. 2024 is shaping up to be a record year of transactional activity for Chartwell. To date, we have announced the transactions valued at over $1.2 billion adding newer, well-located high-quality properties to our portfolio and divesting older noncore assets. Our investment team continues their great work investigating many other growth and portfolio optimization opportunities to further our strategy of portfolio renewal and growth. It is wonderful to see the fruits of our team's labor in so many aspects of our business. On this call, Jeff will walk you through our Q3 results and our financing initiatives in more detail and Jonathan will provide you with an update on our recent investment and portfolio optimization activities. First, I will ask Karen to provide some more color on our ongoing operating initiatives.
Karen Sullivan: Thanks, Vlad. Moving on to Slide 4. Our leasing activity continued to be strong in Q3 with a positive net permanent move into permanent move out of 752 units year-to-date and a steady increase in our closing ratio is leading to a same-store occupancy of 88.9% by the end of Q3 with continued positive momentum to the end of the year. Our open house events have continued to assist us in increasing high-quality initial context, including our fourth and final open house event for 2024 held in September which resulted in 594 personalized tours, just 4% shy of our most successful open house in September 2023, which had 620 PTs. In Q3, 2024 marketing strategies were driven through a strategic blend of digital and traditional marketing efforts and investments in always on channels such as Google and Facebook, nonpaid organic channels such as blogs, e-mails and our website forms and cross-channel advertising, including radio and TV ads for specific priority properties. Our sales force recently came together for in-person training in each province where we operate in order to continue to improve their sales skills and learn about our strategies and initiatives to continue to improve occupancy in 2025 and beyond. We are continuing with our property-specific pricing strategies to grow market rates in homes with higher occupancy, eliminating recurring discounts for some communities targeting specific suites for discounts to accelerate lease-up or continuing with broader base discounts depending on occupancy levels and competitors' rates. Turning to Slide 5. We reduced our staffing agency cost by 43% in Q3 2024 compared to Q3 2023 and 56% year-to-date through focused recruitment and retention activities and are now consistently below pre-pandemic levels. We have specific strategies in place for harder-to-fill positions such as RPMs as well as for areas of the country where recruitment remains a challenge. This includes working with an immigration specialist to bring a group of people from Cameroon into our Quebec homes to fill care and foodservice positions. In Q1 and Q2, I provided updates on some of our individual property strategies to better meet the needs in our local communities and subsequently increased occupancy. This included the addition of funded beds at Chartwell Fountains of Mission in Calgary, which not only filled in a very short period of time, but also based on our performance led to Alberta Health recently increasing the number of funded beds. This initiative has helped us increase occupancy from 67% at the beginning of the year to 87%. In addition, our strategies to better meet the needs of the Asian population in Markham have led to Chartwell Rouge Valley increasing their occupancy from 79% to 92% in 2024. We are now focused on strategies to better meet the needs of the Jewish population in Thornhill at Chartwell Constantia. We also repositioned our apartment units at one of our properties in Cornwall, which are now 100% occupied and are in the process of changing the service model in the ISL portion of this home to better serve this price-sensitive community. The integration of the 5 properties that we recently acquired in Saint-Jérôme, Terrebonne, Gatineau, Sherbrooke and St. John's [indiscernible] has gone extremely smoothly for both staff and revenues. The Quebec operations team is now focused on the upcoming integration of five more properties as part of our new partnership with Groupe Champlain, and our Western Canada team is working to integrate our new properties on Vancouver Island. I will now turn it over to Jeff to take you through our financial results.
Jeffrey Brown: Thank you, Karen. As shown on Slide 6, in Q3 2024, net income was $23.6 million, compared to $158.2 million in Q3 2023. That included a gain on sale of $178.9 million due to the completed LTC transactions. Stronger operating results and lower G&A expenses positively contributed to net income and were partially offset by deferred tax expense, negative changes in fair value of financial instruments, driven by the increase in trading price of our trust units and higher finance costs. FFO from continuing operations increased 54.8% and total FFO increased 43.2% in Q3 2024, compared to Q3 2023 from strong operating results in our core property portfolio. FFO growth also benefited from higher adjusted NOI from continuing operations of $20.7 million lower G&A expenses of $2.7 million, onetime retroactive government funding related to LTC discontinued operations of $1.4 million and higher interest income of $0.3 million, partially offset by higher finance costs of $5.1 million and lower management fees of $0.3 million. In Q3 2024, our same-property occupancy increased 610 basis points to 88.5% and our same-property adjusted NOI increased by $9.3 million or 17.1%. Slide 7 summarizes our same property operating results for each platform. All of our platforms posted occupancy gains in Q3 2024 compared to Q3 2023, which positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $2.9 million or 16.8%. Our Ontario platform same property adjusted NOI increased $4.3 million or 14% and our Quebec platform same-property adjusted NOI increased $2.1 million or 32.4%. Turning to Slide 8. At November 14, 2024, liquidity amounted to approximately $401.3 million, which included $54.1 million of cash and cash equivalents and $347.2 million of borrowing capacity on our credit facilities. For the remainder of 2024, we have $98.8 million of mortgage debt maturing at the weighted average interest rate of 7.08%. We are in the process of refinancing these loans. At November 14, 2024, 10-year CMHC insured mortgage rates are estimated at approximately 4% and five year conventional mortgage financing is available at approximately 5%. We're also excited to be establishing Chartwell's inaugural at the market program, which is designed to provide us with additional financing flexibility should it be required in the future. Chartwell intends to use the net proceeds from the ATM program, if any, for future property acquisitions, development and redevelopment opportunities, repayment of indebtedness and for general trust purposes. Moving to Slide 9. With the continuing strong prospect traffic and leasing activity, we expect occupancy to continue to grow in 2024. We now forecast to achieve 90.2% same property occupancy by December of this year. We have been using targeted incentives in certain markets to support this rapid occupancy growth. As more residences achieve higher occupancy rates, we expect to gradually reduce the use of these incentives. We believe that improving occupancies, combined with lower new supply coming to market will support higher than historical market rate increases over the next several years. We expect these dynamics will result in the growth of our adjusted operating margins at the current levels. I'll now turn the call to Jonathan to discuss our recent acquisitions and portfolio optimization activities.
Jonathan Boulakia: Thank you, Jeff. Turning to Slide 10. Over the past few months, we announced the acquisition of several newer high-quality residences in the province of Quebec. On July 22, 2024, we closed on the acquisition of a portfolio of five modern residences, totaling 1,428 suites in the Greater Montreal area, Gatineau and Sherbrooke for a purchase price of $297 million. We expect to close the acquisition of a 50% interest in a portfolio of another five beautiful residences totaling 1,805 suites in Quebec City and Shawinigan, in the next couple of weeks. On October 31, 2024, we acquired the 152 suite Vista Retirement Residence located in Victoria, BC with beautiful ocean views. The Vista was built in 2023 and offers a continuum of care with independent supportive living, assisted living and memory care services and is currently 28% occupied. It is an upscale residence located in the Charming Victoria suburb of Esquimalt within walking distance to numerous retail and service amenities. The gross purchase price for the Vista was $103.9 million, of which $9.2 million will be held in escrow to support vendors obligations under a 24-month net operating income guarantee. We also acquired Nanaimo Memory Care located in Nanaimo, BC and built in 2018, comprised of 77 suites for $20.3 million and announced the forward purchase of the Edgewater retirement residence located adjacent to the Nanaimo Memory Care, which is currently under construction. This beautiful waterfront property will be comprised of 155 suites offering independent supportive living services and will be acquired upon construction completion, which is expected in Q2 2025. The purchase price for the Edgewater will be $102.7 million, of which $8.7 million will be held in escrow to support the vendor's obligations under the 36-month NOI guarantee. Yesterday, we also announced that we have entered into an agreement to purchase a 2021 constructed upscale independent support of living residence in Victoria BC for $75 million. All 131 suites have full kitchens, in-suite laundry and modern finishes with many offering unobstructed views of Victoria's Harbor and other major landmarks. Current occupancy is 28%. These transactions allow Chartwell to enter the Vancouver Island market, Canada's retirement destination with scale. Moving on to Slide 11. All of these newer high-quality assets are located in strong markets and in great locations within those markets. We acquired these premium residences at attractive pricing, significantly below replacement cost. We expect higher market rate growth out of these assets than our same-store portfolio over the medium term, which will generate strong investment returns. 2024 has been a record year of investments for Chartwell. We're seizing opportunities to refresh our portfolio with high-quality assets at attractive pricing in our core markets. We're still not done with more exciting strategic acquisitions being evaluated and at various stages of negotiation. We also continue on the path of portfolio optimization with a number of residences that we no longer consider core to our portfolio being repositioned, sold or planned for sale. This process will continue into 2025 and 2026. Disposition of noncore properties will lower the average age of our portfolio, position our portfolio more strategically and free up capital to pursue strategic growth opportunities. I'll turn the call back to Vlad to wrap up.
Vlad Volodarski: Thank you, Jonathan. Moving to Slide 12. We believe we are at the front end of what is going to be a multiyear period of growth in retirement living in Canada. Demand for our services should continue to grow for decades driven by the senior population growth and lack of long-term care accommodation. With persistently high costs, new construction has been virtually nonexistent, which combined with the obsolescence of some of the existing inventory is creating shortages of new suites. These dynamics are likely to result in growing occupancies, market rate and profitability of the existing operators. As one of the largest participants in the senior living sector, Chartwell stands to benefit from them. We believe these dynamics present a unique opportunity to future-proof our portfolio, growing it with newer, more efficient assets in strong markets and realize better value on dispositions of noncore properties, which generally are smaller, less efficient and often located in secondary and tertiary markets. We expect to continue building on our recent successes in our portfolio optimization initiatives. We will also continue our work in transitioning our management operations to make them more agile and scalable. We achieved this by empowering our residences teams to take charge of developing and executing property-specific strategies. Our corporate support team assist them with innovative training, valuable tools and targeted support. We are reimagining the way we work, looking to simplify our processes and remove barriers for faster decisions and actions. We are rapidly implementing technology solutions to drive more data-informed decisions and enhance efficiency of our operations. We have accomplished a lot in this area in the last 24 months, and we're driven to continue on this journey. I will now close our prepared remarks with a story from one of our residences as pictured on Slide 13. Last year, we kicked off a project to support our residences team in creating their own dedicated Facebook pages to share the stories about life in their homes and foster a sense of community among our team members, residents, their families and communities at large. The response has been fantastic. Engagement is growing, community connections are stronger than ever, and we're seeing a positive impact on our brand while driving some organic sales leads. A recent success from our Chartwell Cite-Jardin team underscores the power of these pages. They posted a creative reel featuring their office manager, inviting their Facebook followers through an upcoming open house. A person reached out to the home directly to confirm her attendance and reference that reel. When she arrived, the office manager personally welcome her, gave her a tour and just two days later, this person signed a lease and became a new resident. This story is a perfect example of how our resident-specific Facebook pages are more than just communication tools. They are also powerful sales drivers. Our Cite-Jardin team has built a following of nearly 1,000 people and their innovative use of social media is delivering impressive results, showing how digital tools can create meaningful outcomes for both our communities and for our business. Thank you for your attention this morning. We would now be pleased to answer your questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Jonathan Kichler from TD Cowen. Please go ahead.
Jonathan Kelcher: Thanks. Good morning. First question, can you just maybe Jonathan, give a little bit more color on the Victoria acquisition you guys announced yesterday. I just said it was built in 2021 and so three years only 28% occupied, I'm just curious on that.
Jonathan Boulakia: Yes. So this property, as I mentioned in my -- in the conversation just earlier is centerized in Victoria. I think it's a great location and a great property that we're going to add to our portfolio. Our operating plans for the property include changing the model slightly and the targeted customer base for the property as well as focused marketing. And we think that's going to result in a faster lease-up of the property with more success than the vendor had.
Jonathan Kelcher: Okay. So do you think it was just under managed a little?
Jonathan Boulakia: Well, I don't want to say that was managed [indiscernible] to our plans for the property, which include a different operating model. And we think that, that's going to see success.
Jonathan Kelcher: I think you guys hinted to this a little bit in the prepared remarks. But as you -- as the portfolio fills up, sort of hits that 95% target in either late next year, beginning of 2026, whenever you get there. How should we start to think about the uplift that you think you'll be able to get on new leases or new tenants? Like how is that -- and if we look today on your properties that are full, what sort of uplift are you getting on new tenants?
Vlad Volodarski: We believe that we will be able to drive market rates higher when the property achieved high occupancies because as you can imagine, in today's environment, anything new that needs to be built, needs to be built to rates that are significantly higher than today's market rates. So when the existing properties achieve these high occupancy rates, we believe that the ability to increase market rates will improve as well. We are doing today away with the discounts or incentives that we have in the properties that are now at the high occupancies, and we expect that to continue. So I think the growth after 95% occupancy will come more from rate, more efficiency of operations. And 95% is not the end of the road. There's -- in the environment that we're in, there is a possibility to run at higher occupancies as well.
Jonathan Kelcher: Okay. That’s helpful. I’ll turn it back. Thanks.
Operator: The next question will be from the participant, Lorne Kalmar. Please go ahead.
Lorne Kalmar: Thanks. Good morning and congrats on another good show in this quarter. Vlad, obviously, you guys have seen occupancy continue to tick up. And I know typically, there's seasonality in the portfolio given these are kind of a bit of different circumstances than historical. What are you expecting on the seasonality front? Do you have any insights as of right now?
Vlad Volodarski: No. It's always a bit of an unknown in terms of what the flu season would look like and how many outbreaks we or everybody else could experience. Since the pandemic, our infection prevention and control protocols have been enhanced. And last year, we've managed to grow occupancy during the -- what usually is a slow winter season. So our hope is that, that trend can continue, but it's hard to predict with certainty.
Lorne Kalmar: Okay. Fair enough. And then maybe just quickly on the G&A side of things. It was down quite a bit this quarter. And I believe there was an additional $1.5 million of severance. So you're kind of just above a $10 million charge for the quarter. How should we think about that going forward? Is that a good run rate? Or do you expect it to pick up a little bit?
Jeffrey Brown: Yes. Hi, Lorne. Good morning. We do think that's a good run rate for G&A, where we're currently at. We will see some inflationary increases, and we'll continue to put additional investments into IT. But we are seeing those being offset by technology-driven efficiencies and then the reductions that we've talked about as part of the Welltower transaction.
Lorne Kalmar: Okay. Fair enough. And then just the last one for me. A lot of the recent acquisitions, I think, have been newer built from developers, obviously, with occupancy below stabilization, perhaps going to be a bit dilutive. Is that sort of the bread and butter of the program going forward? Or do you think you can pick up some stabilized assets and portfolios as well?
Vlad Volodarski: Lorne, I think it's been actually a blend of stabilized portfolio. So five properties that we bought in the Montreal area where largely stabilized, three out of five properties that we're buying from. Group can plan in partnership with them, are stabilized one of the three on Vancouver Island almost stabilized. But there are some, you're right, that are not stabilized yet. We would like to add to our portfolio of high-quality new properties at a reasonable price. There is a limit of how much nonstabilized acquisitions we could be doing. As you know, these -- even when there's income supported doesn't flow through FFO and it does impact negatively our -- that metrics for a period of time while properties are leasing up. So we won't be able to do the whole acquisition program around non-stabilized properties, but we'd like to continue to focus on adding high-quality properties. And if some of them come that are not yet stabilized, we will continue to look at those opportunities.
Lorne Kalmar: Okay. Perfect. Thank you so much.
Operator: Thank you. The next question will be from Himanshu Gupta from Scotiabank. Please go ahead.
Himanshu Gupta: Thank you and good morning. Quebec same-property NOI growth continues to be the strongest compared to other regions. What are some of the reasons which are driving Quebec same-property to be the strongest?
Jeffrey Brown: Hi. Good morning, Himanshu. I'll take that. It's really much in just the benefit of really good rate growth in Quebec strong occupancy growth and that team is doing a very good job on DOE control. We're seeing a faster top line growth over expense growth, which is driving the higher percentage growth in NOI.
Himanshu Gupta: Is it also because Quebec got more impacted because of agency stocking and that's where you're getting some benefits as well.
Jeffrey Brown: Definitely seeing that benefit in Quebec, but we're also seeing very good benefit on agency reductions in Ontario. So it's not isolated to Quebec where we're seeing those agency savings.
Himanshu Gupta: Okay. Fair enough. And then if I look at next year in terms of same-property NOI growth, would you say that all three regions will be very similar run rate and Quebec will not be a standout next year?
Vlad Volodarski: Well, the most room we have is in Ontario. So we are hoping that Ontario platform will accelerate the occupancy recovery. Western Canada doesn't have much room to run. They're at 95-plus percent occupancy now. So in terms of where the growth is going to come, that's probably more from Ontario next year. But all other regions, Quebec and Western Canada, our expectation is we'll continue to maintain high occupancy and grow incrementally.
Himanshu Gupta: Got it. Okay. Thank you. And then just turning our attention to the margins, and I'm looking at the growth portfolio. I mean, margins were pretty high in Q3. I mean, obviously, now that includes GMA portfolio as well. Is that the stabilized margins on GMA portfolio? Or do you think you have a room to grow those margins as well?
Vlad Volodarski: Well, we think that once the portfolio -- our overall portfolio gets the 95% occupancy, we will be well within low 40% margins, maybe a little bit higher. So there's room to grow margins everywhere. And as I mentioned, once the high occupancy is achieved, we believe that there will be more ability to increase market rates, not related to the existing residents. Those will grow with inflation or somewhere around that, but rental rates -- market rental rates, and that should also contribute to margin expansion beyond just occupancy-driven expansion.
Himanshu Gupta: Got it. Okay. Fair enough. Thank you. And then just shifting gears, Batimo acquisition potential. I think the value is now $298 million. Was it increased by $20 million in Q3.
Jonathan Boulakia: Sorry, the value of our acquisitions on a per suite basis?
Himanshu Gupta: No. I'm talking about those three properties where Batimo has a put option as of 1st January next year. And I think the value in assets you're talking is now $298 million. Last quarter, it was $278 million. So was it any appraisal done on Batimo, these three assets?
Vlad Volodarski: No. We continue to reevaluate the values of these properties. And these are just our estimates. As you know, our agreements with Batimo are, there's a food call and mechanism for appraisal determination of the purchase price. And as I mentioned before, we have not really gone through this appraisal mechanism or put call structures. In the past, we always negotiated the price with Batimo. So the ultimate price will be determined first by negotiations and if we have to through this appraisal mechanism. The numbers that we record in our financial statements are our estimates of current values.
Himanshu Gupta: Okay. Fair enough. And my last question is on the ATM program. And what will trigger that ATM? Do you have a certain leverage in mind? Or do you have some equity price in mind before you tap on this program?
Jeffrey Brown: Yes. It's not -- we don't expect to use it to delever. We think that will happen organically. Through NOI growth, we've come down from 10.2 times debt-to-EBITDA to 8.3 times this quarter. But we will look at using it potentially put in concert with our other sources of capital as we look at capital needs, but it will be potentially a good way, cost-effective way to raise smaller amounts of equity that we'll look at, at the time that we need capital to fund our growth.
Himanshu Gupta: Got it. And maybe just a follow-up on that. I mean if I look at Q4, I mean, you have Vista, Nanaimo and Quebec portfolio closing. So there's still a funding gap. I mean, will you be using credit facility or like CMHC debt is coming in Q4?
Jeffrey Brown: We have closed on the two Nanaimo properties at the end of October. And so we did use a credit facility to support that. We had also raised equity in June when we consider the Quebec City portfolio. So we don't necessarily are focused on using the ATM to fund that transition -- transaction is closing this quarter.
Himanshu Gupta: Okay. Thank you, guys. I’ll jump back.
Operator: Thank you. The next question will be from Pammi Bir, RBC Capital Markets. Please go ahead.
Pammi Bir: Thanks, good morning. I just want to come back to the 95% occupancy target. Maybe just a point of clarification. Are you anticipating any of that or the -- I guess, how you get there, do you expect any of that to come from dispositions of some underperforming properties? Or are those assets not even part of the same property bucket, like are they in the repositioning bucket?
Vlad Volodarski: Yes, that's a good question, Pammi. Yes, the short answer is yes. We are looking to continue our program of disposition of noncore properties. The composition of the same property portfolio, we changed once a year unless we sell something that we previously classified to be the same property. And when we change the composition of the same property portfolio, we consider our plans of repositioning certain properties or potentially divesting properties within a year timeframe. So yes, we will have some properties that will come out of the same property bucket that we expect to do some work on or dispose of. There will be other properties that will come into the same property bucket from our growth portfolio today. So we will make sure that it's clear to you when we get closer to 2025, which composition of the portfolio to expect in that year.
Pammi Bir: Okay. I guess it's probably hard to kind of have a sense of how much of that could come from that sort of capital recycling exercise, because I guess maybe some moving parts of that. Is that fair?
Vlad Volodarski: That's fair. It's still early at this point to tell that.
Pammi Bir: Okay. I wanted to come back to the -- just to the Victoria acquisition that was announced yesterday. How long do you expect that to get to stabilized occupancy?
Jonathan Boulakia: The one we just announced?
Pammi Bir: Yes, yes.
Jonathan Boulakia: Yes. We would assume about two years.
Pammi Bir: Okay. And then just I wanted to touch on sort of the new supply picture. Starts are obviously quite low. And Vlad, I think you talked about this a bit with respect to where rents are. But at what point do you think rents -- how many years do you think you could take for rents to get to levels where we start to see new supply really start to accelerate at this point?
Vlad Volodarski: Well, look, when we are thinking of developing a property you think of a sort of five year development cycle, maybe three or four years between you get the entitlement on the land and then execute on construction and open property, that's at least two, three, sometimes four years. And so you are underwriting sort of four year future growth in rents by the time you open the property. So I can tell you there are some projects that we are continuing to evaluate that are getting closer with our expectation of rental rate growth. But those are mostly additions to our existing properties where we're expanding the footprint on the existing campus. So a lot of fixed costs already incurred operating. And so that makes them a bit closer to being feasible than others. So I think maybe another year or so, if we continue seeing overall performance in the occupancy recovery and rental rate growth, then some more projects will become feasible and people will start building. But again, even if they start in a year's time, it's going to take two to three years for those to open and become a competition to the existing properties.
Pammi Bir: Right. Yes. So still a decent runway. Last question, just on the acquisition side. Clearly been a very active year. Are you seeing -- and maybe just maybe on some of the more recent deals that you've gone through. Are you -- or even what you're looking at today, are you seeing any changes in sort of the competitive landscape? Is pricing getting a little bit more aggressive, more or less? Or what are you seeing or maybe some new entrants coming in?
Jonathan Boulakia: We do see some competition in the acquisition process. So it is somewhat competitive. But some of these opportunities, in fact, many of these opportunities that we've announced on, we've kind of had an upper hand in the acquisition process, largely because we just have a good reputation in the market. We do a lot of underwriting work early in the process, and we try our best to present credible offers to vendors quickly and offers that we stand time. So we do offer that kind of certainty of closing to vendors. And I think that, that has helped us land a number of these deals in an advantageous way. So we've got -- we lean heavily on our management platform and our reputation to provide kind of an edge on these deals, and we hope that, that's helping us.
Pammi Bir: Okay. Last one, sir, I forgot. On the Victoria acquisition yesterday, what was sort of the stabilized sort of cap rate range that you expect that to get to?
Jonathan Boulakia: The stabilized cap rate would be around high 6s, so 6.8%, 6.9% stabilized yield once it's leased up. But as I mentioned, it's at 28% now.
Pammi Bir: Great. Thanks very much. I’ll turn it back.
Operator: Thank you. The next question will be from Fred Blondeau from Green Street. Please go ahead.
Frederic Blondeau: Thank you and good morning. One quick question from me. On the $115 million still due during the remainder of 2024, where do you stand on this? And what kind of interest rates are you seeing right now?
Jeffrey Brown: Hi, Fred. Good morning. You just asking on the mortgage refinancings?
Frederic Blondeau: Yes, sorry, yes.
Jeffrey Brown: Yes. So we're in the market with those now, primarily with CMHC and you're seeing 10-year rates around 4%.
Frederic Blondeau: Yes. Okay. That's great. And then just looking at the debenture next year, when -- can you remind us when is it due? And what would be our strategy on that one, the $150 million?
Jeffrey Brown: That comes due in April of next year, and that's something we'll look at, at the time based on some of the other portfolio -- sorry, realizations we have, including the Welltower transaction and other CMHC financings. So it really will be decisioned closer to whether we refinance in the debenture market or repay that loan.
Frederic Blondeau: Okay. That’s great. Thank you.
Operator: Thank you. The next question will be from Giuliano Thornhill from National Bank Financial. Please go ahead.
Giuliano Thornhill: [Technical Difficulty] was there any kind of specific kinds of questions that kind of -- or I guess, tracking higher than where you expected. Is there anything specific you can point to?
Vlad Volodarski: Sorry, we missed the first part of your question. Can you repeat it, please?
Giuliano Thornhill: Yes. Just the -- why did the employee engagement and guest satisfaction? Why is it tracking a lot higher than you originally expected?
Vlad Volodarski: Well, it's always hard to answer that kind of question directly. I mean we'd like to take a lot of credit for all the work that we've been doing on our teams, in fact, been doing in the field to deliver exceptional resident experiences to our residents. This is our unique value proposition. This is what everybody is focused on. And we are trying to make sure that not only we deliver on their expectations for good services, care, good food, clean environment, but we also create experiences for them that are unique and personalized to what we learn about them during the discovery process and during their initial period staying with us. And so I think that result is reflective of those efforts to our resident teams. And then on the employee engagement is probably similar sort of answer. There's a lot of, obviously, corporate initiatives to help people with the engagement. I think culture plays a huge role in that success where people feel comfortable working for our company. People feel recognized, appreciated and really cared for as an employee of the company, and we're very happy to see those results, and we'll work hard to continue to maintain these high engagement and satisfaction scores.
Giuliano Thornhill: Okay. And then just on the rental hikes. Q1, you're around 5% this quarter, you're at 3.9%. I'm just wondering kind of what led to that decline over the last kind of nine months? Given occupancy increasing, you would expect something like reverse of that?
Vlad Volodarski: Yes. We continue to offer targeted incentives across our portfolio. And if you think about the rapid occupancy growth that we saw in the last two years, a lot of the sort of impact on the rate are from incentives that we've already granted to the residents that moved in with us. So as we get to these high occupancies, 90% plus, 95%, our expectation will be that the new residents, who will come to us after that will require less incentives and will be asked to pay higher market rates, and therefore, the rental rate growth will accelerate after the occupancy recovery.
Giuliano Thornhill: Okay. And then do you know how much of an impact during the quarter, the incentives had on the margins or the profile there?
Vlad Volodarski: No, I can't answer that mathematical question directly other than saying overall NOI growth has been strong, and we're really pleased with that outcome, and we continue to focus occupancy recovery first, and we know that the rate will come after.
Giuliano Thornhill: Okay. And then just the last one on the KPIs for the Well properties that you're going to acquire, how has the revenue per occupied kind of grow? And what's the occupancy? How does it compare? And what's the margin profile there for the quarter?
Vlad Volodarski: The occupancy is just slightly lower than our overall occupancy of the portfolio, but not very far. And rates, again, these properties are in different markets, but compared to other properties in those markets, they will not be much different from the margin and rate standpoint.
Giuliano Thornhill: Okay. Thanks.
Operator: Thank you. [Operator Instructions] The last question is from Dean Wilkinson from CIBC. Please go ahead.
Dean Wilkinson: Thanks. Good morning, everyone. Out of respect for everyone's time, I'll just keep it to one question. Vlad, I just want to go back to the acquisition and new supply dynamic given that there's not a lot of new construction in the ground right now and it might take four or five years for that to come about. Do you think the pace of acquisitions is something that you can maintain here? Or do you see that kind of trailing off and perhaps getting a little more involved in development either by yourself or in conjunction with some other parties? Thanks.
Vlad Volodarski: Yes. I think our focus is to grow portfolio with high-quality properties. Right now, it is more advantageous to buy properties, because we find these opportunities to buy at what we consider to be a significant discount to replacement costs. How long this is going to last, nobody knows. We're trying to work very hard to source these opportunities and working with our contacts in the sector. Jonathan's team has been doing tremendous work being out there. And nurturing the numerous relationships that we have with people who have properties that would fit the profile that we're looking for. My hope is that we will be able to continue to do that. There are a large number of development opportunities that we have within our portfolio on the lands that we already own. A lot of them are additions to the existing properties that just intensifies the existing sites. And as I mentioned before, those -- math on those properties is a little easier to come by to justify the development because a lot of fixed costs are already there. So we are preparing ourselves to start some of these projects. I hope we'll start some next year, but I don't know for sure. But in terms of focusing on one or the other avenue for growth, we just like to pursue all of them at the same time, because you never know which ones are going to pan out. And remember, Canadian market, unlike the U.S. market, is not that deep and large. And so these acquisition opportunities, when they come, it's great, but it's not like there's a constant supply of them out there.
Dean Wilkinson: That’s great. Thanks.
Operator: There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Vlad Volodarski. Please go ahead.
Vlad Volodarski: Thank you, Marina, and thank you, everybody, for joining us today. As always, if you have any further questions, please do not hesitate to give us a call. Goodbye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.